Jay Kalish: Thank you very much, Barbara, and thank you all for joining us on our fourth quarter 2011 conference call. Joining us today are Allot's President and CEO, Rami Hadar, as well as our Chief Financial Officer, Nachum Falek. The press release announcing our fourth quarter results is available on the Investor Relations section of our website at www.allot.com. All results and expectations we review on the call are on a non-GAAP basis unless otherwise described as GAAP. Non-GAAP net income and non-GAAP net income per share excludes stock-based compensation expenses, as well as amortization of intangible assets and certain onetime expenses. Please note that all earnings per share amounts are on a fully diluted basis.
 Before we begin, let me remind you that certain statements made on the call today may be considered forward-looking statements, which reflect management's best judgment based on currently available information. I direct your attention to the risk factors contained in today's press release and in the Annual Report on Form 20-F filed by Allot with the U.S. Securities and Exchange Commission on June 9, 2011. On the marketing side, I am attending the Pacific Crest conference in San Francisco next week and Nachum will be attending the Oppenheimer conference in New York next week as well. A full list of our conference schedule is available on our website. Please be in touch with me directly if you would like to schedule a meeting.
 With that, I would now like to turn the call over to Rami. 
Rami Hadar: Thank you, Jay, and thank you all for joining us today. 2011 turned out to be a great year for Allot, with a dramatic rise in both the top and bottom lines. For the fourth quarter, revenues grew 36% over last year, and 10% over the third quarter, and reached $22 million. For the year, earnings also grew 36% and reached $77.8 million. Net profit reached $4.2 million or $0.14 per share for the quarter. For the entire year, net profit tripled and reached $12.5 million or $0.46 per share. Our operating profit for the fourth quarter continued to grow and reached $3.8 million on a non-GAAP basis, and we increased our operating margin to 17%. The book-to-bill ratio was over 1 for the quarter, over 1 for the second half of 2011, and over 1 for the entire year, as we continue to build backlog. I feel very positive entering 2012 with a strong sales pipeline and a large backlog.
 During the quarter, we received orders from 10 large service providers, 5 of which were for mobile customers. 5 of the orders were from new customers, 3 of which were mobile. On the operations side, we had one 10% customer during the quarter and only one 10% customer for the year, which totaled approximately 15% of total revenues as we continue to diversify and enlarge our customer base.
 We continue to execute in all of our major markets. As we previously announced, we received a $9.5 million order on the wireline side from an operator in APAC. We also are maintaining our leadership in the mobile space. In addition to LTE deployments, we deepened our penetration into a second Tier 1 customer in Europe during the quarter. When I look forward to 2012, I see many new opportunities in our pipeline. I believe that Allot will finally see revenues from U.S. mobile operators in 2012.
 Alongside growing mobile opportunities in APAC, we are seeing a rise in interest among large, fixed-line operators in this region. This could be related to the large growth in video traffic. We are also seeing increased interest in monetization opportunities among 6 Tier 1 operators, especially in the area of smart charging.
 Europe continues to be a strong market for Allot. At this time, we are not seeing a slowdown in European opportunities. Despite macroeconomic conditions, DPI has become a critical technology for operators as they continue to contend with the increasing flood of data, especially on the mobile side. The introduction of optimization alone can save up to 30% of bandwidth for the service providers and enable them to push out the deployment of additional routers and expensive access equipment, which can cost up to 5x more than our solutions, or delay full 4G/LTE deployment.
 Our expanded penetration during this quarter into a second mobile Tier 1 service provider in Europe is further evidence of this attractive value proposition we offer service providers. In Latin America, we recently received multimillion dollar orders from 2 large fixed-line operators, further expanding our penetration in this region. On a general level, many recent wins with large service providers have included value-added services, which was the critical factor in our being selected. I believe it's one of the main differentiators between Allot and its competitors is our unique Service Gateway platform. We are the only company which combines optimization and monetization in a single platform. While optimization remains the stable stake in this market, and I strongly believe that we have the best optimization solution in the market, value-added services is clearly the direction in which the industry is heading. Value-added services are becoming increasingly important to our customers around the world, as service providers continue to seek new sources of revenues to finance network upgrade.
 In addition to smart charging, which we discussed last quarter, Allot offers service providers the widest range of value-added services in the industry in a single platform, without the need for additional servers or external equipment such as load balancers. In the past, we focused on enhancing the speed of our Service Gateway, which now has 160 gigabit per second throughput which has been independently verified. This capacity appears to be more than enough for our customers and many anticipate that even this throughput will not be required until next year.
 While we certainly continue to have speed enhancements in our product roadmap going forward, over the past year, we have been focusing on increasing the number of value-added services and features that we can offer to service providers. We currently lead the industry in this category, making our solution the most robust offering in the market. The value-added services represented approximately 12% of our revenues during the fourth quarter, and we are seeing a steady increase in this category.
 To sum up, 2011 was a great year for Allot, with revenue growth of 36% over 2010, increasing profitability and ever-growing customer list, both of wireless and wireline service providers. We believe that Allot is positioned for continued growth on both top and bottom lines in 2012. We will continue our strategy of investing a portion of revenue growth in enhancing our sales and R&D capabilities during this year, with the balance going down to the bottom line.
 I will now hand the call over to Nachum for a short financial overview. Nachum, please go ahead. 
Nachum Falek: Thanks, Rami, and good morning, everyone. Let me take a few minutes to review the results we published earlier today. I will be discussing non-GAAP numbers, which excludes stock-based compensation, amortization expenses, and certain onetime expenses we incurred during the year related to the public offering and M&A activity. Full reconciliation of the pro forma results discussed on this call to GAAP results is currently available for review on our website and in the press release issued today.
 Now let me walk you through the results for the quarter and for the full year. Revenues for the fourth quarter increased to $22 million, up 36% over the fourth quarter of 2010 and 10% over the third quarter of 2011. As a percentage of our revenues, sales in Americas accounted for 25%; EMEA, 60%; and Asia-Pacific, 15%. Out of total revenues during the quarter, products was 73%, and services, 27%. Gross margin for the fourth quarter was 71.7%, similar to the third quarter level. Our operating expenses increased to $12 million and in line with our expectation. During the quarter, we recruited 15 new employees, mainly to the R&D and sales and marketing department.
 For the quarter, we were happy to report earnings per share of $0.14 as compared to $0.13 in the third quarter. Keep in mind that we closed the secondary offering on November 15, so that EPS reflects an increase of 3.2 million shares in the weighted average. An additional 3.2 million shares will be added to the share count in the first quarter of 2012, as this will reflect the full effect of share issued as part of the offering including the greenshoe.
 As a percentage of sales, total OpEx went down from 55% in the third quarter of 2011 to 54% in the fourth quarter. As a result, the operating margins continue to improve, increasing to 17% from 16% in the third quarter.
 To recap, 2011 revenues for the year reached $77.8 million, a 36% increase over 2010. Net profit for the year tripled reaching to $12.5 million as compared with $4.1 million in 2010. EPS for the year reached $0.46 as compared with $0.17 in 2010.
 On the balance sheet side, cash balance has increased to $159 million, which, of course, was affected by the $85 million that we raised in the offering during the quarter. During the fourth quarter, we generated $7.7 million in cash from operating activities, and $15 million for the entire year. Our DSO went down to 50 days from DSO level of 59 days we had in the third quarter of 2011. Inventory increased to $10.5 million versus $9 million in the previous quarter. Logistic inventory level was similar to the third quarter level, and the change was mainly due to shipped and not billed product. Deferred revenues went up by $8 million during the quarter, reaching $22 million at quarter end. The increase was mainly due to new product, which we should probably recognize partly during the first half of 2012.
 That conclude my remarks, and we will now open the call for questions. 
Operator: [Operator Instructions] We will now take our first question from Ittai Kidron from Oppenheimer. 
Ittai Kidron: Rami, can -- there's 2 things I want to ask you about. One is, you talked about the fixed carrier environment. It seems like, while most of the focus has been on mobile, it seems like fixed is something we should pay a lot of attention to as well. So can you give us a little bit more color on the pipeline over there? And what are the applications typically it's been using? And how do we think about the growth in your fixed business through the year? 
Rami Hadar: So, yes, a matter of first in facts [ph]. We were a little bit surprised as well, and when we looked at some of the key wins in Q3 and Q4, we found a nice group of several large and fixed accounts. We also looked into our funnel in 2012, and we find there's a couple of key -- fixed key accounts as well. So I'm not just ready to say if this is a macro trend or what, but it seems that even with the very latest fixed access technologies, the growth rate probably fueled by video is more than catching up, and the fixed guys are starting to feel pressure as well. Maybe not as severe as mobile, which we spoke a lot about, but something is kind of accelerating there as well. What we're seeing, the common name applications are in our fair share of bandwidth and interest in moving away also from flat-rate charging into some form of intelligent charging, whether it's simple cap-based or what not, but it seems that charging is a common feature in many of the RFPs we are seeing. So not to make any mistake, still are the growing segment and the focus is mobile, fixed was always there, with the Tier 3 and Tier 1 accounts, and maybe we'll get a nice upside from Tier 1 fixed carriers as we move deeper into 2012. 
Ittai Kidron: Okay, and the second question, with regards to the value-added services which you mentioned, which, if I remember correctly, you said were 12% of your revenue in the fourth quarter. I know you don't give guidance, but maybe qualitatively, if we think about 2012 as the year, would you expect value-added services to grow much faster than the underlying product revenue? And if so, what's the impact and implications to your gross margin through the year? 
Nachum Falek: Yes, I do expect value-added services then to grow probably maybe along the lines, maybe faster than just our top line. We note on the call that actually many of our wins, strategic wins, in the past quarter, and most of them, or even if all of them included some form of at least 1, if not more, value-added service functions in the Service Gateway. On average, value-added services have lower gross margins than our overall company average. And this is because some of these value-added services are based on third company solutions and not only our homegrown. But that is typically coupled by the fact that anybody who wants to invoke value-added services has to go through buying our subscriber management licenses which, the SMP, which is licensed on a per subscriber basis. So in overall, that up until now, kind of balanced out and helped us maintain our 72% plus/minus gross margin. 
Operator: We will now take our next question from Matt Robison at Wunderlich Securities. 
Matthew Robison: First, I guess my 2 questions. First, on linearity, deferred revenue and DSO performance was extraordinary. And do we take that to mean that you had an unusually front-loaded quarter, and then I guess I'd be curious, what your thoughts are in getting an initial -- an additional 10% customer, whether we should expect that to happen for -- in the current quarter with the strong bookings, and when do you think we might see a second 10% customer that would deliver that kind of magnitude for the full year? 
Nachum Falek: Thanks, Matt. So first I would say, quarter was kind of linear. For sure, it wasn't back ended. And I think that obviously part of the reason why DSO went down and why deferred revenues went up. It's more of a cash flow issue. I think, as always, what's important to remember is that the best way to monitor the business is really looking at the book-to-bill ratio and seeing that book-to-bill ratio in the fourth quarter was above 1, and for the second half, it was above 1, which mean that we are increasing the backlog. So that I think, the most important. But you are correct, the quarter wasn't back ended, and we got paid for, I would say, most of the product that we shipped. In regards to the 10% question, so it's true that in 2011, we had only one 10% on an annual basis, but on a quarterly basis, we had -- if I remember correctly, around 3 different customer, except for the one that was on an annual basis. I do think that next, or in 2012, on a quarterly basis, we will have more than one of a 10% customer, but it's very hard for me to say on an annual basis whether we're going to have an additional one, if at all. 
Matthew Robison: You expect the current 10% customer to remain at that magnitude this year or? 
Nachum Falek: Yes, it's very hard to guess. But I would say, the business has continued. We've got more orders than we recognized, so obviously we will have very close relationship with that customer on 2012 as well. 
Operator: Our next question comes from Daniel Meron at RBC Capital. 
Daniel Meron: A couple of questions on my end. First of all, Rami, you mentioned that you expect to win your first wins in the U.S. carrier market in 2012, can you provide a little bit more color on the potential size of it, not necessarily 2012, but rather on a long-term basis. I mean, we've seen you guys grow dramatically over the last several years, partially thanks to some major Tier 1 wins in Europe. How should we think about it if you start winning some additional carrier wins in the U.S.? 
Rami Hadar: Yes, so thank you, Daniel. Obviously, there is some very large mobile carriers in the U.S., and there are some very pretty good medium sized ones. I guess, right now, I want to be cautious about forward-looking statement, but I can tell you that I feel these revenues that I do expect to happen in 2012 will be multimillion-dollar revenues. Will they become, so one of them will be 10% customer? Right now, no. So I think if I'd give you a range, we're not talking about hundreds of thousands of dollars we're talking about multimillion-dollar revenues, which I expect to recognize in 2012. But not yet, maybe the magnitude of the large Tier 1 we have in Europe. 
Daniel Meron: Okay, understood. And another question, maybe relating to net neutrality. We've seen some announcements in publications about net neutrality being imposed also in Europe beyond what we're seeing right now in Europe -- I'm sorry, in the U.S. So what do you think will be the impact, if at all, on the deployments that you have in Europe? 
Rami Hadar: So it's very hard to predict regulators, while we feel that in the U.S., net neutrality is starting maybe to wind down or at least reach a reasonable compromise, the debate in Europe kind of comes and goes. And sometimes, the debate rises, sometimes it disappears for 6 months. So it's hard to predict where this is going. Right now, except maybe for Netherlands, which is a very significant market for us, although we do have some deployments there as well, it seems that right now, the arguments are more academic, where regulators are sending various [indiscernible] to do our feasibility studies and come back with what net neutrality really means. So again, and my bottom line is, we're not feeling any effect yet how to predict the future. And part of our expansion into value-added services is to include more and more functionality into our products like charging, like realtime monitoring, analytics and others, which don't touch and don't lead on net neutrality. It's kind of the part of the mitigation strategy we are taking. 
Operator: We will now take our next question from Dan Cummins at ThinkEquity. 
Daniel Cummins: Well, you answered my question, Nachum, about book-to-bill being above 1 for that second half of the year. That's tremendous. I wanted to ask then, perhaps about Asia-Pac. I guess I was a little surprised, it was only -- I think you said 15% of revenue in the fourth quarter. Do you expect that contribution, that regional contribution to grow in 2012? 
Nachum Falek: Yes, most likely it would. On a percentile basis, low or more because Europe and Americas did a nice come back. Asia, APAC, remains a very strong market for us, and the funnel and activity there remain strong. 
Daniel Cummins: Okay, and then just quickly, on the order that you announced at the beginning of the quarter, can you give us some idea of how much of that was recognized in the fourth quarter? 
Nachum Falek: Yes, so without getting into specific details, I think as we mentioned on the previous conference call, when we got the order, this is an order that we will recognize over several quarters. We already started recognizing some revenues from it, but it's not one quarter or something like that, it will take us more than 1. 
Daniel Cummins: Okay, does that make up a majority of the increase in the deferred revenues that we're seeing here today? 
Nachum Falek: It contributes some. 
Daniel Cummins: I'm sorry, what, pardon me? 
Nachum Falek: You are correct. Some of the increase in deferred revenues relates to that order. 
Operator: And we'll take our next question from Sanjit Singh at Wedbush. 
Sanjit Singh: I was wondering if you can update on the competitive environment, are you seeing any incremental opportunities given some of the disruptions going on with Sandvine? And are you seeing anybody else besides Cisco and Sandvine in RFPs? What's the competitive environment looking out -- looking like right now? 
Rami Hadar: So no drastic changes. And obviously, from afar, we've witnessed some of the challenges faced by Sandvine, and trying like everyone else to figure out what's going on. As we said, we are not encountering similar headwinds. As we said in the past, the industry is growing -- the segment is growing. DPI is becoming a must own technology in many mobile and fixed networks. So the segment and the space is growing, and several players are enjoying the success, not just us. In the mobile space, we actually see the incumbent GGSN vendors with various forms of DPI as the main competitor versus looking at Sandvine and Procera, a lot of greenfield out there. In all of these greenfields, there is some kind of a form of a GGSN, and the GGSN vendor claiming they can do DPI. So they are really our main competitors where we need to come in and show enough functionality and features and value to justify another Service Gateway, another box in the network. And that continues to be our execution strategy moving forward. 
Sanjit Singh: I appreciate that. Now regarding -- knowing that you guys don't give quarterly or full year guidance, is there any reason to think seasonality in Q1 would be any more pronounced than your typical pattern over the past few years? 
Nachum Falek: We could see seasonality in Q1. I mean, remember we still have 20-plus percent of revenues coming from the enterprise space. That definitely seasonality -- subject to seasonality. And also, obviously budget flushes with telcos typically happens -- not only, but typically happens in Q4. So Q1 is a suspect of seasonality. How much if any, we're still in the first month, and hard to know. 
Operator: And we'll now take our next question from Jay Srivatsa at Chardan Capital Markets. 
Jay Srivatsa: I want to step back a little bit. Several service providers seem to be a little bit concerned about capital expenditure. They're seeing some weakness near term. What's your read on it, both on the wireline and mobile side as you look to the rest of the year in terms of their own expenditure patterns and how it plays to you? 
Rami Hadar: Jay, thank you. Good question. We've actually been seeing these kind of headwinds for quite a while. They have been coming and going in different levels of severity. We've been able to grow despite that. One can argue that maybe if macro conditions were even more favorable, we could have actually grown even faster, but this is hard to analyze. What we do observe is that the capital spending towards our equipment is relatively small compared to the macro scale of things. So we are not the first line or second budget line to cut. Also because of the strong saving element in our equipment, [indiscernible] optimization [indiscernible] and I said it on the call, very obvious and provable 20% to 30% bandwidth savings. Sometimes it actually plays in our favor, where mobile operators are actually trying to push out multibillion-dollar deployments of 4G/LTE rollouts by deploying our equipment, sometimes tough markets play in our favor. 
Jay Srivatsa: All right. And following up on the competitive landscape, as you look at the U.S. market, do you see the competitive dynamics being any different from what you have experienced in some of the other markets. Meaning, are there more entrenched players here that will pose a bigger threat for you relative to what you're seeing in Europe and Asia-Pac? 
Rami Hadar: No, not much in general, to the best of my knowledge. Companies utilizing DPI and catering to very large service providers. I mean, the pure play group is more or less stable over the last 2 or 3 years. On the contrary, we have seen 1 or 2 players disappear like [indiscernible], and I feel this is actually a testimonial to the very large technology barrier to entry. So on a standalone basis, the answer is no. The integrated players, we are seeing continues attempt, some are more successful, some are less. Out of the routers/GGSN vendors to embed similar functionality like us into their router. That continues to be my focus on the strategy and roadmap. And there, we do see continuous improvement on -- with some of these routing vendors, the GGSN vendors, so they do continue to invest and improve. In the meantime, obviously, we expand and improve our fields, functionality, scalability and value-added services. 
Operator: We will now take our final question from Catharine Trebnick at Northland Securities. 
Catharine Trebnick: I have a question on technology. Basically with the shift to more video streaming away from peer-to-peer traffic and peer-to-peer traffic is where really DPI's technology really got its boost. Do you think the shift more towards video traffic in the United States, I believe, it's now like 70%, where a peer-to-peer was 70% 3 years ago. Will that shift the competitive landscape towards some of these GGSN competitors or not, what's your take on that? 
Rami Hadar: Thank you, Catharine. Actually a very insightful question. You are right. In a way to the DPI function, at least the Allot interpretation, where we use DPI to identify applications, and I might add here, to do that and only that, identify application. Certainly, the peer-to-peer applications were the toughest to identify. In typical, video stream applications are easier to identify. So maybe someone who has a mediocre DPI capability might be able to better get away with it, if video streaming is it. Having said so, first, peer-to-peer is still a very large part of traffic. We know that because of the lack of ability to identify peer-to-peer correctly, we believe that some of these measurements out there, may classify peer-to-peer as video streaming. Or by the way, most of the peer-to-peer traffic is video. And the fact that only maybe 3 or 4 vendors can successfully identify and call it by its name, we believe that a lot of the peer-to-peer is misclassified as video. And finally, many other applications such as the gaming, certainly voice and Skype and others, you still need through the elaborate DPI technology to keep up and do a good job recognizing and identifying these technologies. So bottom line, yes, there is some effect, but nevertheless, DPI is very much needed. And again, having said so, and I couple back to my answer to Daniel Meron, we are much past DPI. Allot is now a Service Gateway company, we offer many value-added servicing, charging functions, field services, fair share. So we are now getting into deals where DPI is maybe a factor, but a small factor of the overall proposition. 
Catharine Trebnick: Well, that's very good. And then my second question is, could you split out your Americas number between Latin America and North America because you had 2 wins in Latin America, so that would be interesting to see how it splits out? 
Nachum Falek: No, sorry, Catharine. We don't have the number so far. And we have 1 team -- 1 VP managing the region, and this is why we just provided 1 lump sum to both. We might consider doing that in the future. 
Operator: As there are no further questions in the queue, that will conclude today's question-and-answer session. I would now like to hand the call back over to Mr. Kalish for any additional or closing remarks. 
Jay Kalish: Thank you, all, for joining us today, and hear about the progress we've been making at the company. We look forward to meeting with you over the next few months as we travel to the U.S. and to Europe. And of course, hopefully, see you on our next call. Thank you again.